Operator: Welcome to the U.S. Bancorp’s Second Quarter 2020 Earnings Conference Call. Following a review of the results by Andy Cecere, Chairman, President and Chief Executive Officer and Terry Dolan, Vice Chair and Chief Financial Officer, there will be a formal question-and-answer session. [Operator Instructions] This call will be recorded and available for replay beginning today at approximately 12 p.m. Eastern through Wednesday, July 22 at 12 midnight Eastern. I would now like to turn the conference over to Jen Thompson, Director of Investor Relations and Economic Analysis for U.S. Bancorp.
Jen Thompson: Thank you, Matis and good morning everyone. With me today are Andy Cecere, our Chairman, President and CEO and Terry Dolan, our Chief Financial Officer. Also joining us on the call today are our Chief Risk Officer, Jodi Richard and our Chief Credit Officer, Mark Runkel. During their prepared remarks, Andy and Terry will be referencing a slide presentation. A copy of the slide presentation, as well as our earnings release and supplemental analyst schedules are available on our website at usbank.com. I would like to remind you that any forward-looking statements made during today’s call are subject to risk and uncertainty. Factors that could materially change our current forward-looking assumptions are described on Page 2 of today’s presentation in our press release and in our Form 10-K and subsequent reports on file with the SEC. I will now turn the call over to Andy.
Andy Cecere: Thanks, Jen and good morning everyone. Thank you for joining our call. Following our prepared remarks, Terry, Jodi, Mark and I will take any questions you have. I will begin on Slide 3. In the second quarter, we reported earnings per share of $0.41. Consistent with the industry, our performance is being impacted by the current economic environment. Loan growth reflected the impact of defensive draws by corporations in March and early April, strong mortgage loan growth, and the impact of the Paycheck Protection Program, which supported small businesses impacted by the COVID-19 situation. Increased liquidity in the financial system and a flight to quality drove strong deposit growth in the quarter. Our healthy fee income growth this quarter is a testament to our diversified business model. Some fee lines, including our payments businesses, were negatively impacted by slower economic activity. However, we saw very strong growth in our mortgage and commercial products businesses. And while consumer spend activity remains pressured compared with a year ago, volume trends in each of our payments businesses have improved as some economies have started to reopen. Expenses were held relatively flat compared with the first quarter. We continue to manage our cost structure prudently and in line with the slower revenue growth environment. Credit quality metrics in the second quarter reflected increased economic stress offset by the beneficial impact of governance stimulus and forbearance and deferral programs. During the quarter, we increased our allowance for loan losses in response to economic conditions. We believe our reserve level at June 30 is appropriate based on the information we have available. Changes in the allowance will be dependent on actual credit performance and changes in economic conditions. In the lower right quadrant of this slide, you can see that book value per share grew 2.8% compared with a year ago and we remain well capitalized. Slide 4 provides key performance metrics. We delivered a 7.1% return on tangible common equity in the second quarter impacted by lower earnings owing to the current economic environment. Slide 5 shows our continually improving digital uptake trends. Shelter-in-place orders early in the quarter and temporary branch closures due to the COVID-19 have increased an increase in digital adoptions. Digital now accounts for more than three quarters of all service transactions and about 46% of all loan sales. We expect digital adoption by customers to stick even after the economy fully reopens. Now, let me turn over to Terry who will provide more color on the quarter.
Terry Dolan: Thanks, Andy. If you turn to Slide 6, I will start with the balance sheet review followed by a discussion of second quarter earnings trends. Average loans grew 6.9% on a linked-quarter basis and increased 10.0% year-over-year. Growth includes $7.3 billion of loans made under the SBA’s Paycheck Protection Program during the second quarter. The average loan size to these small businesses was approximately $73,000. Excluding the impact of PPP, average loans grew 5.4% on a linked quarter basis and 8.5% year-over-year. Excluding PPP, linked quarter growth was primarily driven by growth in commercial loans and in mortgage loans. In late first quarter, business customers drew down their lines to support business activity and future liquidity requirements. We started to see pay-downs of commercial loans in May and the paydown activity accelerated in June as many customers access the capital markets. As of last week, about two-thirds of the defensive draws we saw in the late first quarter and early second quarter have been repaid. Strong residential mortgage growth reflected the low interest rate environment. Credit card balances declined in the quarter due to lower spend activity. Turning to Slide 7, average deposits increased 11.2% on a linked quarter basis and grew 16.8% year-over-year. Average non-interest-bearing deposits increased 30.1% year-over-year driven by corporate and commercial banking, consumer and business banking, and wealth management and investment services. Turning to Slide 8, while the net charge-off ratio was relatively stable on a linked quarter basis, non-performing assets increased 24% sequentially, reflecting increased economic stress. The non-performing assets to loans plus other real estate owned ratio totaled 0.38% at June 30 compared with 0.30% at March 31. We have taken a proactive approach in evaluating credit quality across the entire commercial loan portfolio and considered risk rating changes in the evaluation of our allowance for credit losses. Our loan loss provision was $1.7 billion in the second quarter, inclusive of $437 million of net charge-offs and a reserve build of $1.3 billion. The increase in the reserve was related to changes in risk ratings and deterioration in economic conditions driven by the impact of COVID-19 on the U.S. global economies and our expectation that credit losses and non-performing assets will increase from current levels. The increase in the allowance for credit loss is considered our best estimate of the impact of slower economic growth and elevated unemployment partially offset by the benefits of government stimulus programs as of June 30. While estimates are based on many quantitative factors and qualitative judgments, our base case outlook assumes an unemployment rate of 13% to 14% for the second quarter, declining to 9.0% in the fourth quarter of 2020 and to 7.8% by the fourth quarter of 2021. Slide 9 highlights our key underwriting metrics and exposures to certain at-risk segments given the current environment. We have a strong relationship-based credit culture at U.S. Bank, supported by cash-flow-based lending that considers sensitivity to stress, proactive management, and portfolio diversification, which allows us to support growth throughout the economic cycle and produces consistent results. Slide 10 provides an earnings summary. In the second quarter of 2020, we reported $0.41 per share. These results were adversely affected by the current economic environment and the related impact to consumer and business spend and the expected increases in credit losses. Turning to Slide 11, net interest income on a fully taxable equivalent basis of $3.2 billion was essentially flat compared with the first quarter in line with our expectations as the impact of lower interest rates was partially offset by deposit and funding mix and loan growth. Also as expected, the net interest margin declined by 29 basis points compared with the first quarter. The lower margin reflected lower rates and a flatter yield curve as well as higher cash balance of being maintained for liquidity to accommodate customer demand. While loan mix put pressure on the net interest margin, the earning asset impact was mostly offset by beneficial shifts in deposit and funding mix. Slide 12 highlights trends in non-interest income. Strength in mortgage banking and commercial product revenue more than offset declines in the payment revenues. Mortgage banking revenue benefited from higher mortgage production and stronger gain-on-sale margins partially offset by the net impact of change in fair value of mortgage servicing rights and related hedging activity. Commercial product revenue reflected higher corporate bond issuance fees and trading revenue. Slide 13 provides information about our payment service businesses, including exposures to impacted industries. Payments revenues were pressured – was pressured by the impact of COVID-related shutdowns and reduced economic activity in the quarter. However, consumer sales trends improved throughout the quarter and that trajectory has continued in early July. Credit and debit card revenue declined 22.2% year-over-year and merchant processing services revenue declined 34.2% year-over-year, both categories performing somewhat better than what we had expected. Corporate payment products revenue declined 39.5% year-over-year in line with our expectations as business spending continues to reflect cautious sentiment. Slide 14 – turning to Slide 14, non-interest expense was essentially flat on a linked quarter basis in line with our expectations. Second quarter expense reflected an increase in revenue related costs from mortgage and capital markets production and expense related to COVID-19 situation. During the quarter, we incurred incremental COVID-19 related costs of approximately $66 million. These expenses consisted of about $30 million related to increasing liabilities for potential future delivery claims related to the airline industry and other merchants and about $50 million related to premium pay for frontline workers and costs tied to providing a safe working environment for our employees. We expect these incremental COVID expenses to begin to dissipate in the second half of the year. Slide 15 highlights our capital position. At June 30, our common equity Tier 1 capital ratio calculated in accordance with transitional regulatory capital requirements related to the current expected credit loss methodology implementation was 9.0% at June 30. Our common equity Tier 1 capital ratio, reflecting the full implementation of the current expected credit loss accounting methodology was 8.7%. I will now provide some forward-looking guidance. For the third quarter of 2020, we expect fully taxable equivalent net interest income to be relatively flat compared to the second quarter. We expect mortgage revenue to continue to be strong on a year-over-year basis in the third quarter, but it is likely to decline compared with the second quarter reflecting slower refinancing activity for the industry. Payments revenue is likely to be adversely affected through the remainder of the year on a year-over-year basis due to reduced consumer and business spending activity. However, we expect continued gradual improvements in sales volumes. We expect non-interest expenses to be relatively stable compared to the second quarter. Future levels of reserve build will depend on a number of factors, including changes in the outlook for credit quality, reflecting both economic conditions and portfolio performance and any beneficial offset from government stimulus. We will continue to assess the allowance – the adequacy of the allowance for credit losses as credit conditions change. For the full year 2020, we expect our taxable equivalent tax rate to be approximately 15%. I will hand it back to Andy for closing remarks.
Andy Cecere: Thanks, Terry. I will end my remarks on Slide 16, which highlights a few of the recent actions we have taken as a company to help support our customers, communities and employees. We are operating in uncertain times, not only for the economy, but for our society in general. However, I am confident that together we can make lasting and impactful changes that will leave us all better on the other side of each trying times. We are well positioned for near-term challenges and we continue to manage this company with the long-term lens and focus on maximizing shareholder value. Our capital and liquidity positions are strong and our unique business model remains a differentiator for us. I would highlight three things that will continue to support our ability to deliver industry leading returns through the cycle. First, as our second quarter results indicate, our diversified business mix reduces revenue and earnings volatility. And this quarter it allowed us to deliver good revenue growth even against the challenging interest rate backdrop and an industry-wide slowdown in consumer spending activity. Second, our time-tested credit underwriting discipline puts us in a strong position to navigate through an economic downturn, while setting us up to return to prudent and consistent growth in the more favorable economic environment. And third, our culture remains the foundation which informs not only what we do at U.S. Bank, but how we do it. I couldn’t be more proud of our employees have come together to support our customers and communities and they faced significant economic and social disruption. I want to take this opportunity to thank them for all their hard work and resiliency. We will now open up the call for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Scott Siefers with Piper Sandler.
Andy Cecere: Good morning, Scott.
Scott Siefers: Good morning, guys. Hey, thank you for taking the question. Let’s say, I guess, Terry, a question for you just on, you gave the NII expectations for the third quarter, I wonder if you could talk a little bit about the sort of the puts and takes, meaning balance sheet growth and where you would see the margin trajecting from here?
Terry Dolan: Yes. From a loan perspective, again, we would expect that we will see year-over-year growth, but on a linked quarter basis, clearly, it’s going to be down. We are going to continue to see pay-downs associated with those defensive draws that we had at the end of the first quarter and early second quarter. So, that will put downward pressure on a linked quarter basis. PPP will actually, probably help from a growth standpoint as we think about second quarter, but it does start to dissipate in third quarter and fourth quarter simply because of the loan forgiveness program. So, on the consumer side, auto lending has generally been a little bit. It was weak in April and May, but it’s gotten stronger in June. So, we believe that, that’s going to be a bright spot as we think about the third quarter, but overall consumer lending is likely to be down simply because consumer spending has been down, so that’s kind of the puts and takes you think about loan growth. Margin, we believe is going to be relatively stable. It will be helped a little bit by PPP, but impacted a little bit, there will be a little bit of pressure on the yield curve side of the equation, but relatively stable to the second quarter.
Scott Siefers: Okay, perfect. Thank you. And then just given the absolute level of interest rates, do fee waivers start to become an issue for in the money market area, and if I recall correctly from the last time rates were this. I think those show up in trust fees if they are sort of something you guys are thinking about where would they show up and what’s kind of the impact you guys would see?
Terry Dolan: Yes. I think the impact would be probably similar to what we saw last time given, but it will maybe a little bit more simple because of growth, but it will show up in trust and investment management fees, because that’s where our money market fund revenue gets recognized.
Scott Siefers: Okay. Alright, perfect. Thank you guys very much.
Andy Cecere: Thanks, Scott.
Operator: Your next question comes from the line of Matt O'Connor with Deutsche Bank.
Matt O'Connor: Good morning. Just to clarify on the net interest income outlook of stable quarter-to-quarter, does that include some of the kind of benefit from PPP repaying or forbearing and if so what are your assumptions on that in terms of the next couple of quarters?
Terry Dolan: Yes. So, it includes all the puts and takes. Like I said, it will reflect a decline on a linked-quarter basis in terms of commercial loans because of the draws, but there will be some benefit associated with PPP. So, it includes essentially all the puts and takes associated with net interest income.
Matt O'Connor: Okay. And then I am wondering on the PPP, it seems like your kind of approach was more granular or to go after kind of smaller really the small, small businesses if I just look at your total amount funded versus applications. And just wondering if you could talk to that approach and maybe give us some insight in terms of the cost that you have incurred to originate those loans?
Andy Cecere: Matt, this is Andy. We took the applications as they came in serving our customers initially, and then ultimately outside of the bank. As you saw, we had over 101,000 applications and the average balance was in the 70,000. So, a lot of our customers are small business and we helped a lot of employees. So, the team did a great job. We started with a bit of a manual process and went to a much more automated process certainly in the second round. So, it was just based on the request that came in and the priority was really time based.
Matt O'Connor: Okay. And then just the cost to originate, was it just kind of moving resources from one part of the bank to another or?
Andy Cecere: Yes, yes it was, Matt. We actually had individuals from throughout the entire company help us through this process, particularly the manual process that started and the technology as well, but yes the entire bank was supportive.
Matt O'Connor: Okay, thank you.
Andy Cecere: You bet.
Operator: Your next question comes from the line of Saul Martinez with UBS.
Saul Martinez: Hey, guys. Good morning.
Andy Cecere: Good morning, Saul.
Saul Martinez: Hey, good morning. I wanted to drill down a little bit on your comments, Terry, on the payments business and sort of a gradual improvement there. I guess, first of all, could you just give us a little bit of a sense for the – how much the consumer recovered and then they seemed like in June the year-on-year declines in acquiring volumes and card volumes is really, really lessened, but can you just give us a sense of what say the exit rates were in terms of volumes in those categories in June versus March? And I guess as an adjunct to that, why wouldn’t that suggest that at least sequentially you should see pretty sharp improvements in terms of the sequential growth in issuing and acquiring revenue versus release versus the second quarter. Obviously year-on-year is tough, but versus the second quarter, it would seem to suggest that you could see a nice improvement sequentially and I just wanted to get your sense as to whether I am thinking about that right?
Terry Dolan: Yes, Saul, I think you are right on. I think we end up looking at our payments business on a sequential basis. You know we will see growth, particularly in the credit card and the merchant, the corporate payments we would also expect growth, but maybe not at the same level, simply because the sales volumes there, our commercial spend, our commercial customers are still fairly cautious, but kind of give you some perspective at the end of – or in April, we saw on the merchant side of the equation, consumer spend was down almost between 50% and 55% kind of in that ballpark and today it’s really back to spend levels that are closer to about 20%. So that has come back really very nicely. The things that are going to continue to impact for a while is the mix associated with the airline industry and some of the entertainment, but it has come back very nice. Your point on sequential growth is right on. With respect to credit card, credit card we have said was down kind of in that 30% range in April. And that has come back nicely as well. In terms of credit card, it is still down. It’s down around 10% to 12%. We would expect that trajectory to continue so – into the third quarter. Debit card revenue or sales, excuse me, actually have been pretty strong and the sales on the debit card side has been kind of up 10% to 12% kind of in that range. And while we wouldn’t expect it to be maybe quite at that higher level in the third quarter is still I think going to be relatively strong. And then on the CPS side of the equation, CPS, again, the commercial spend has been pretty cautious. It was down kind of in the magnitude of 30% to 35% in that April sort of timeframe. And it’s still down around somewhere between 25% and 30%. We do expect it to get a little better than that in the third quarter for a couple of reasons, simply because government spend tends to be strongest in the third quarter. So hopefully, that gives you some insights or perspective.
Saul Martinez: Yes, that’s super helpful. If I could squeeze another one in on the fees, the deposit service charge is obviously down a lot and you commented about fee waivers related to customer, related to COVID. I mean how do we think about that going forward and I don’t know if you can quantify that or how do we or just give us a sense of how that I think $133 million, how that could compare to maybe a more normalized level in the coming quarters?
Terry Dolan: Yes, similar sort of impacts as consumer spend and just activity has declined and then you have the stimulus checks and all sorts of different types of things just incidence levels related to NSF and fee waivers in terms of helping our customers has impacted the second quarter. On a sequential basis, we would expect that will come back nicely in the third quarter, but on a year-over-year basis, it’s still going to be down simply because consumer activity is down similar to merchant or credit card.
Saul Martinez: So, it will take some time to get back to that sort of a more normalized or what was a more normalized level I guess?
Terry Dolan: Yes, that’s right.
Saul Martinez: Alright, alright. Awesome. Thank you very much.
Terry Dolan: Yes, thank you.
Operator: Our next question comes from the line of Erika Najarian with Bank of America.
Erika Najarian: Hi, good morning.
Andy Cecere: Good morning, Erika. 
Erika Najarian: My first question is on the reserve and this is a question that all your peers have been getting during this earnings season. So, I always like to think in the CECL world that your reserve to loan ratio of 2.54% represents a cumulative loss rate for the recession that represents, let’s say, 2 years? And I guess the question here is that, is that your view? I guess, it’s another way of asking, are you done in terms of reserve building? And related to that, your peers have also talked about the base case, but that the base case tends to be one of, let's say, five or so different scenarios and those scenarios are weighted. And so I am wondering if you could give us some insight in terms of as you have had built your reserve, how much weight that base case was taken to account versus perhaps other scenarios?
Terry Dolan: Yes. So, let me take the first question. And when we think about the reserving, you are absolutely right, you make your estimates at the end of any particular quarter based upon the information that you have available at that particular point in time and not certainly at June 30. We believe that the reserve is appropriate for the cumulative losses that are there. So, we wouldn’t expect future increases in the reserve, but again, that is going to be highly dependent upon what changes either in terms of economic factors or if our credit quality changes differently than what we had expected. So, the important thing is that we are going to continue to assess the reserve every quarter based upon the information that we have available to us, but you are right, theoretically that is how CECL works and that’s how we are trying to apply it. Coming to your second question, the information that I ended up giving to you with respect to unemployment now, keep in mind, unemployment is an important factor, but there is like 200 different multiples that are part of the modeling process. So, it’s pretty complex, because you got a lot of different types of portfolios, etcetera. But unemployment, the information I gave you was really the weighted average across many different multiple scenarios that we ended up looking at. So, you are right, when we look at this, we look at information from many sources in terms of things like unemployment, GDP, etcetera, etcetera. We develop a base case if you will, but then we look at multiple scenarios around that base case and weighted. But the information that I gave you was weighted based upon those multiples. So, it should give you some comparability when you think about that. Andy, you have anything to add?
Andy Cecere: No, you have said it well.
Erika Najarian: Got it. And my second – my follow-up question is to Andy. So, Andy, I think what was particularly impressive about this quarter is your PPNR resiliency. And obviously, the forward look would imply that this will continue. And Terry just told us that we could be done in terms of reserve building. As we think about the future and as we think about a more difficult operating environment for banks, how are you thinking about inorganic growth strategies from here?
Andy Cecere: Well, Erika, first, as you mentioned, I think our diversified revenue mix helps a lot. This is a – this quarter probably represented it very well. We had some pressure on payments, because of the spend activity that Terry talked about. But mortgage and commercial products had – it hit it out of the park this quarter in terms of positive so. And then the other part of a diversification is how much of our revenue comes from the balance sheet or net interest income as well as fee revenue sort of a mix back, 50-50 there. So, that really helps in environments like this and different businesses do well in different economic cycles. As we think about the future, I think we are planning for a future that has continued lower rates. It will take a while for spend to get back to normal. So we are going to manage our expenses in that – with that thought in mind, which is what we are doing today. And we are going to continue to invest in the businesses that have opportunity as well as the digital initiatives I talked about. And those digital initiatives will offer not only the opportunity for our customers to connect with us in virtual means I think it will also offer expense opportunities in the long run. So, those are the ways we are thinking about it.
Erika Najarian: And just any thoughts on inorganic strategies acquisition?
Andy Cecere: Yes.
Erika Najarian: I think you say it more importantly?
Andy Cecere: Yes. Thanks for being one. So, we will look at opportunities have come up. The only thing I would say is in this environment, Erika, there is a lot of uncertainty and it’s certainly not a clear vision in terms of the future even for us. So, to look at someone else with that lens will be challenging, but I do think opportunities will come up because of the stresses that are out there and we will take a look.
Erika Najarian: Okay, thank you.
Andy Cecere: You bet.
Operator: Your next question comes from the line of Mike Mayo with Wells Fargo Securities.
Andy Cecere: Hey. Mike.
Terry Dolan: Hey, Mike.
Mike Mayo: Hi. Just I want to challenge – look, you are one of the most conservative banks, but I want to challenge some of your conservatism So, on the – your base case, again, 9% unemployment by the end of this year, I know it’s a lot of scenarios and it’s weighted average and all that, but at least one of your peers was more conservative than that. And I know that’s the Fed base case. So there is nothing crazy about it. It’s just, I thought, why not be more conservative if you have the flexibility or when you take the weighted average or the different scenarios, I am pushing back a little bit more like this seems like peak reserve builds and you said that, but if your economic assumptions are wrong, then that won’t be the case. So, why not be more conservative there? And along those lines, your payments comment that it should improve sequentially kind of makes sense. But look, we just had a big increase in COVID cases, which leads to more deaths, which leads to some closing down and how are you feeling about that progression?
Terry Dolan: Yes. So maybe to address the first question, when you end up establishing the reserve, you have to establish what you believe is appropriate based upon the information that you have available to us. And you know what we use things like Moody’s Analytics and other sources in order to kind of come up with that projection of what unemployment as an example looks like. So, you have to make sure that that your reserve is appropriate based upon the information that you have. You can’t build in tons of conservatism so to speak into it. But again, part of it is we will have kind of wait and see on the payment side of the equation in terms of COVID cases. Based upon our estimates, right now, I think that this go round versus last go around, I think that states are continuing to try to stay open to the best that they can. I think you have different sort of health treatments and all sorts of different things that exist based upon better information or different information than what existed before, but quite honestly, it’s we are going to find out. There is a lot of uncertainty and it’s too early to know.
Andy Cecere: Yes, and I’d add on. Mike, I think you are right, things are changing every day and the facts change daily, weekly sometimes hourly. So, we are just going to continue to assess and manage the company given the changes that are out there. What Terry is telling you what he is seeing right now. And as he said, we get data everyday and we are going to continue to assess what we think is going to happen. We are running a lot of models. We are sharing with our board a lot of scenarios, including a much harsher scenario and understanding what would occur in that. So but you are right I mean there is a lot of unknown yet and we are being conservative in the way we are approaching our financial modeling.
Mike Mayo: And then one follow-up question look your third slide of substance at Slide A5, but the digital engagement trends, I mean you are certainly putting that front and center, can you bring us up to date like as of like to the moment of what’s happening with your digital engagement and what does that mean in terms of branches and national expansion and anything else, because if you are putting this as your third slide in your earnings deck, it’s clearly – I know it’s always been important, but it seems like it’s – now it’s being put on steroids in terms of the way you are highlighting this, which must be in some bigger part of the strategy?
Terry Dolan: So, Mike, it has always been important, but I do think the recent events and the customer behavior changes, has even accelerated that further. And you can see that in the numbers, nearly 80% of transactions now occurring in a digital fashion. The branch activity as far as transactions is down a lot. In the sales side, I talked about the loan sales. But actually, total sales in the branches have doubled since you are, excuse me on a digital platform have doubled versus a year ago. And so we do expect those digital investments both do it yourself and do it together in other words co-browsing or virtual activity is going to continue to be important not just for the consumer, but across many business lines. So that investment that we are making is important on two fronts. It’s important to make sure we are giving the customer the best experience in connecting with them in the ways they choose to and it’s also offering efficiencies in long run. As we talked about, we announced over a year ago that we expect to have 10% to 15% fewer branches. And I would expect that number to increase in terms of the number of fewer branches that we have, because of this changing customer behavior. Branches will still be important, but the number of them and the size of them will be fewer and less.
Mike Mayo: Any number on those branches, the updated number?
Terry Dolan: We don’t have a number. Yes, we continue to assess and as we think about the changes that are occurring and the closures that are out there will continue to assess what we expect, but I do expect it to be higher than the 10% to 15%.
Mike Mayo: Okay, thank you.
Terry Dolan: You bet.
Operator: Your next question comes from the line of David Long with Raymond James.
Terry Dolan: Good morning, David.
David Long: Good morning, everyone. Going back to the Paycheck Protection Program, we talked a little bit about the expectations for forgiveness there, but do you have a timeline on where you think your $7 plus billion in PPP loans may start to be forgiven?
Terry Dolan: Yes. Well, we do expect that there is going to be some forgiveness that’s going to take place as early as the third quarter. So there is going to be some run-off of the balances just because of that. I think the vast majority of it happens late third fourth and early first quarter in terms of timing. That’s our expectation right now.
David Long: Got it, okay. And then on the deposit side obviously very good deposit growth there, how do you see the trajectory of that playing out taking into consideration the PPP and all liquidity that’s built in now and how does that impact the size of the balance sheet through the rest of the year?
Terry Dolan: Yes. Our expectation is that deposit growth is going to continue to be strong at least through the end of the year, if not into early next year and it’s really high correlated to the amount of liquidity that the Fed is continuing to pump into the system. The impacts from a balance sheet perspective is I think certainly have a funding benefit associated with that. The challenges I was trying to identify, if you get the loan growth great, if you don’t, you are going to have to look for opportunities on the investment side of the question so, but we do expect strong growth in deposits in the foreseeable future, because of the fed programs.
David Long: Got it. Thank you.
Terry Dolan: Thanks, David.
Operator: Your next question comes from the line of Ken Usdin with Jefferies.
Ken Usdin: Hi, hey guys. Hey, good morning. Just one question on the expense side, obviously much stronger than expected revenues especially at a mortgage, but noting that you are talking about some of the COVID costs coming off and that even some of the like costs I would think incentive-related costs type of stuff like mortgage will be softer sequentially. You are still talking about flattish expenses sequentially. And can you – I was wondering if maybe you can kind of put that in context with some of the broader reaching comments you just made about the future of the expense base in terms of why you would only expect to see flat expenses sequentially? Thanks.
Terry Dolan: Yes. The areas that we are going to see growth or not, I mean, on a sequential basis, I do think you are going to see revenue related sort of expenses coming down that you will see COVID-related expenses coming down. There is still going to be a fairly significant amount of PPP and cost associated with all sorts of things that will end up happening in the third quarter. The other thing that I think that ends up coming into play is just timing with respect to, for example, other loan expenses when they end up getting recognized relative to the mortgage production that occurred. So, we recognized revenue in the quarter in which the application is taken unlocked, but lot of the expenses end up happening in the quarter that’s following that simply because of the timing of closing loans and that sort of thing. So, that’s a big driver that ends up impacting the sequential growth from second quarter to third quarter that you have to keep in mind?
Ken Usdin: Okay. And a follow-up on the money market fee waivers, you had mentioned earlier that you would expect them to be larger than last time, can you put that into numeric context for us, how much were you waiving either on an annual basis or at peak through the last cycle and how is the asset management complex differ in terms of mix today versus then? Thanks.
Terry Dolan: Yes. In terms of the mix of the product that we end up offering, I think there is probably a more government or govy based sort of money market as opposed to prime base. The prime base declined fairly significantly. But the overall – when you end up looking at assets under management, it certainly were at a higher level today than 10 years ago. That’s the reason. I think that the rate of the fee waivers will be pretty similar, but just the assets under management in the wealth management phase is higher. And I am trying to put my fingers on kind of what that looks like right now, but we certainly can kind of get back to you, Ken.
Ken Usdin: Okay, thanks a lot. I will follow-up.
Andy Cecere: Terry, I think fee waivers will – when they are implemented we will be somewhere in that $30 million a quarter range plus or minus.
Terry Dolan: Yes.
Operator: Your next question comes from the line of the Vivek Juneja with JPMorgan.
Andy Cecere: Good morning, Vivek.
Vivek Juneja: Hi, thanks. Thank you for taking the questions. Couple of ones. Firstly, on credit cards, can you give us the reserves to cards and also what are you seeing in terms of card customers, where deferrals are coming off? Have you started to see deferrals come off and what’s the reaction been in terms of customers paying the full amount or asking to extend the deferrals?
Andy Cecere: Thanks, Vivek. I am going to ask Mark Runkel, our Chief Credit Officer to respond to that. Mark?
Mark Runkel: Yes. The reserve ratio on the credit card was 10.14% at the end of June. That’s question number one. The second in terms of those customers that have come off some of the programs that we have got in place we have seen very strong payment performance today. About 70% of those customers have started to make normal payments after those periods of time. We have seen a few of those about 20% reenroll and then the rest has moved into delinquency, so so far, so good on customer performance.
Vivek Juneja: Okay. That’s great. Terry, if I may sneak in one for you. Other income, I know it had a lot of noise this quarter, what would you suggest as a run-rate for us to use?
Terry Dolan: Yes. So if you kind of think about the – when I end up looking at the current run-rate just given the environment that we are in, Vivek, I would end up looking at second quarter is a pretty good estimate of what future quarters are going to look like at least for a while.
Vivek Juneja: Meaning at this $130 million that you had?
Terry Dolan: Yes, yes.
Vivek Juneja: Yes, okay. Yes. Okay, great. Thank you.
Operator: Your next question comes from the line of Gerard Cassidy with RBC.
Andy Cecere: Good morning, Gerard?
Gerard Cassidy: Hi. Andy. How are you? Hi, Terry. Andy, we have seen some real crosscurrents in economic information, for example, the Empire State Manufacturing Index came out today positive first time since February and industrial production coming a little better today as well. But on the other hand, the initial unemployment claims numbers remained very elevated. What are your customers when you talk to your customers and they understand the restaurants and the leisure guys are still feeling a lot of pain but can you give us some color on what are your commercial customers telling you? What are they seeing?
Andy Cecere: Yes. So first, you are absolutely right. There are some mixed signals. And I think the mixed signals is sort of the competing factors of distress in the economy from the shutdown offset by the stimulus that’s occurring across many categories, unemployment benefits, the stimulus checks, PPP, all those things. And those are competing forces which makes modeling and projecting very difficult in this environment. I would say small businesses are struggling the most for a lot of different reasons, principally because they have less cushion than the larger companies. The larger companies as Terry mentioned, initially they were very defensive drawing down in excess of $22 billion, but about two-thirds of that is paid back. So while certain industries continue to be stressed, you’re seeing under industries that are actually doing a little bit better in this environment, so small, challenged; middle and large, mixed; some doing well and some not so much. Terry, would you add a remark?
Terry Dolan: No, I think that’s well said, I mean, I think it’s right.
Gerard Cassidy: And then as a follow-up, in the reserving, in the provisioning you guys did this quarter, I know you mentioned there is a lot of moving parts as you just touched on it, Andy. But how much would you say the provisioning was allocated to specific credits that you’re now starting to see obviously distressed versus just building up the general reserves?
Andy Cecere: Yes, I mean I will have Mark kind of add to this. But certainly when we end up looking at net charge-offs and things like that there hasn’t been a lot of movement, especially on the consumer side of the equation. We are starting to see non-performing assets on commercial starting to grow, as we talked about, but it’s still, what I would say, relatively early. I think the government stimulus programs and things like that have kind of at least for some period of time muted some of those underlying credit characteristics that you typically see. More of it or most of it is really driven based upon kind of our outlook when we think about the economic conditions going forward. And then at the end of, looking at kind of split between products, it’s probably more heavily weighted 60% plus of the reserve build really more focused on wholesale and commercial real estate as opposed to consumer at this particular point. Mark what would you add?
Mark Runkel: The only thing I might add is, you mentioned this in the early comments we have gone through the portfolio very granular and downgraded the credits appropriately. So we feel like all of that has been factored into the analysis. But the bulk of our change is really the economic assumptions as Terry noted.
Gerard Cassidy: Thank you.
Andy Cecere: Hey, Ken. Coming back to your question on fee waivers, the impact second to third quarter was a sequential basis of fee waivers. So we have about $30 million in that ballpark.
Operator: And your final question comes from the line of David Smith with Autonomous.
David Smith: Good morning. Thank you for taking the call.
Andy Cecere: Good morning.
David Smith: Just to clarify on the expense guidance; 3Q stable to 2Q relatively, does that include the COVID expenses in 2Q?
Andy Cecere: Yes it’s total expenses, it is all inclusive. And again we will see benefit of COVID coming down, but some of those production-type costs that I talked about earlier going up.
David Smith: Thank you. And also, any, any particular color you could give on the jump in non-performing loans and commercial real estate?
Andy Cecere: Mark?
Mark Runkel: Yes, I would just say they are really focused in on a couple of different industries that we have highlighted. One is on the commercial side is really heavily energy and the retail sector. And then on the commercial real estate it’s going to be some of the retail related exposure as well. It’s coming off a very low point as you note, but those are the industries that have been most impacted today.
David Smith: Alright, thank you so much.
Operator: At this time, I would like to turn the call back over to management for any closing remarks.
Jen Thompson: Thank you everyone for listening to our earnings call. Please contact the Investor Relations Department if you have any follow-up questions.
Operator: Thank you for participating in today’s teleconference. You may now all disconnect.